Joe Lister: Great. Good morning, everybody. Thank you all for coming along, and those of us joining today, I see you fighting over the snacks on the chairs. So please enjoy that. And for those joining us online, sadly, we won't be posting them to you today, but hopefully, you can come next time and enjoy them. So, this morning, I'm going to just run through what we're seeing in the market and progress with our strategic priorities. Karan will then take you through the '26, '27 sales position before Mike talks through the financials and property. And then I'll wrap up and open up for Q&A as usual. So, 2025 was a year of considerable change for us in our sector. And whilst our performance was strong across the majority of the portfolio, we have seen that pace of change accelerate, which has impacted our occupancy. More students are opting to live at home and international postgraduates have declined again since their peak in 2022, which meant that occupancy was weak in three of our cities, which impacted the overall performance. And whilst it's still early, we are currently tracking 3 percentage points behind last year, which is all in the nomination space, which Karan will come on to talk about. We have seen the demand shifts like this before, and we know that we can respond positively. So we set out a plan in November to reposition the business, and I'm proud of the start that we've made across the three areas. First, we've been accelerating the repositioning of the portfolio. We've got a high-quality, well-located portfolio at the right price points, and we've already started selling assets as seen by the USAF disposal announced today, and we've launched a portfolio of GBP 300 million just last week as well. Secondly, we will play to our strengths. We have unparalleled relationships with universities, and we have NPS scores at record levels. And we have an opportunity to deepen these relationships at a time when universities themselves are facing into challenges, and we're excited about further joint venture opportunities. And thirdly, we will leverage our platform. Our integrated platform gives us that ability to react, to take share from our competitors, including HMO and Empiric gives us the opportunity to do this. And we've already taken costs out and reduced CapEx spend at pace. And encouragingly, young people still see the value in a university experience, particularly at high-tariff universities and supply constraints are having a real and having a real and lasting impact. The fundamentals of the HE sector remain strong and where there are near-term headwinds, we are addressing them and facing into them. Demand remains robust. We've seen a record number of applications from U.K. 18-year-olds and international graduates are also increasing, particularly from China, and growth is focused at high-tariff universities. We have seen a fall in postgraduates over the last three years, as I mentioned, but the U.S. and Canada still have restrictive visa policies and the U.K.'s international education strategy provides greater policy certainty and the prospect of growth in student numbers at top universities. And we are positioning our portfolio where this demand-supply imbalance is most favorable. And universities are still targeting growth and the growth ambitions remain core to their strategies. When I'm speaking to the vice chancellors at the likes of UCL, King's, Leeds, Liverpool and the rest, growing U.K. and international undergraduates is a priority for them, and we're seeing that come through in their numbers. They're committing to long-term campus investment. And you can see that at universities like Bristol and Glasgow and also through their investment into joint ventures with our partners at Newcastle and Manchester Met. Universities recognize that they, like all industries, do need to adapt to AI, but educating young minds will be more important than ever. And over the next 20 years, it is estimated that there will be a 10% increase in jobs needing a degree. And so we do see that there will still be more opportunities to grow nominations in joint ventures with high-tariff universities. And we are positioning the business to face into the near-term challenges as young people are being more rational in their choices, and they're prioritizing on value for money and the investment they're making, particularly given the cost of living pressures and the graduate outcomes, meaning that more students are opting to live at home and students are again booking later to try and secure the best deal. And this is driving the continued focus on to high-tariff universities where student sees the value of a residential degree. And this continues to see us concentrate into more cities and the opportunities to capture share from HMO and grow our overall addressable market. On the supply side, the viability challenge is real across PBSA, build-to-rent and new housing and new starts have largely ground to a halt. The Renters' Rights bill becomes effective in May '26, and we've already seen around a 10% reduction in HMO over the last few years, and we'd expect the renters rights to continue to play into this. And so what does this all mean for us? High tariff is growing at the expense of low tariff, so we are growing our exposure there. Universities will commit to high-quality PBSA, either through nominations or joint ventures, and we are well placed to play into this. And whilst we outperformed the market in '25, '26, it's clear that, again, we will need to take share from both HMO and PBSA. And where we need to reposition the portfolio, we will be proactive and pragmatic. And we believe that this will drive a return to growth over the medium term. In November, we set out our revised strategy to respond to these shifts in the market. And as I say, we are making good progress three months into this plan. We are 68% sold for the next academic year, as I mentioned, 3 points behind last year. Universities are being more cautious on renewing nominations, especially at low tariff universities. And whilst the applications data is stronger than we anticipated, and we're having good conversations with universities since that data was released at the end of January, as we saw last year, this does not always flow through to bookings. So we've been more cautious on our outlook and guiding to the lower end of our occupancy and rental growth range. Taking action on costs, our overhead rationalization completed in December, delivering a 20% reduction in our central staff costs, and we're close to completing our technology platform, which will unlock GBP 7 million of savings by the end of the year. And the integration of the Empiric acquisition is well underway. It is really exciting to the opportunity for us to take share from HMO across both Unite and the Empiric portfolios. And we're also increasing our synergy target today to GBP 17 million. We're also increasing -- making progress increasing our alignment to high tariff and the best teaching universities, already reaching 67%, and we will achieve our 80% target through the pipeline, joint ventures and disposals. We are on site with both of our joint ventures and the financial constraints on universities are increasing partnership opportunities at sensible returns and we're making good progress with our capital allocation, the USAF disposal showing our proactivity, and we've been decisive in our approach to developments and using the proceeds from those developments to launch our GBP 100 million share buyback program earlier this year. And we do recognize it will take some time to reposition the portfolio, but delivering these priorities will underpin our return to growth. As we've got into the Empiric business, we really are excited by the extent of the opportunity, giving us a brand and a platform to compete with HMO, which is home to over 1 million students, and this will increase the size of our addressable market. I've been out visiting the properties. I've been to Cardiff, Birmingham and Bristol, and I've been impressed with the quality of the portfolio and the fit with the Unite portfolio as well as the quality of the people in those cities. There are loads of opportunities for us to use our sales platform to drive performance. And yes, the sales position is disappointing, and that reflects some distraction from the acquisition as well as the market challenge and the fact they didn't pivot away from their core market of Chinese post graduates. So the '25-'26 income will impact our '26 earnings by 1p to 1.5p, which Mike will cover. And there is more work to do on our '26-'27 sales, and we are on it. We will partially offset some of the shortfall by the increased synergies and driving our sales performance through both '26 and '27 to deliver earnings accretion from Empiric. In summary, this slide highlights our 2025 performance. We've delivered EPS of 47.5p underpinned by the good performance in the majority of our cities. but at the lower end of our guidance due to the 95% occupancy overall. And the TAR of 2.1% is below our usual standards, driven primarily by yield expansion and also a slowdown in development activity. So I'll now hand you over to Karan, who will take you through the '26 sales in some more detail.
Karan Khanna: Thanks, Joe. As Joe highlighted earlier, on occupancy, we are currently at 68% versus 71% same time last year. Nominations are back 4% year-on-year, and I'll share a bit more detail on nominations on the next slide. On direct let, bookings are actually slightly ahead of last year, having adjusted prices and tenancy length to attract more undergraduates to compensate for the softness in the international postgraduate market. We're also making good progress in stabilizing our recently opened and refurbished properties, where bookings are up 25% year-on-year. This has been achieved on the back of strong student feedback, improved marketing, demand for nominations as well as adjustments to tenancy length. Rental growth, which is on a RevPAR basis, is currently at the lower end of our 2% to 3% guidance at 2.4%. Our inflation-linked multiyear nominations continue to underpin this rental growth with some of it being offset by adjustments made to secure single year nominations as well as more undergraduate direct-led customers. Like last year, we are seeing a later demand cycle as students wait to get the best scale possible. So we are preparing for a big push in the latter half of the cycle again. A bit more on nominations. As you know, with nearly 60% of our beds on nominations, of which 85% are on multiyear linked inflation-linked contracts with an average tenure of six years, they're a big part of what makes Unite successful. For the current sales cycle, which is still quite early, we are behind what we achieved last year. To add a bit of color on that, when we started discussions with our university partners towards the end of last year, we found that they were a bit more cautious in resigning to the same volumes that they took from us previously. Quite simply, to manage their financial risk, they needed clarity on their own student numbers before they could make firm commitments to us. The majority of these handbacks, as you can see, were from lower and medium tariff universities, which have been losing share to the higher tariff. Encouragingly, though, since the release of the UCAS application data, we have seen an uptick in the request from universities to take more rooms now that they know their application rates. The headline UCAS data shows continued positive trend in student number growth. Overall applications from 18-year-olds were -- was up nearly 5% as application rates held steady at 41%. Like last year, higher tariff universities continue to win share, growing applications at 6%. They now account for nearly 50% of all student applications. Additionally, higher tariffs have seen an increase in applications from students who intend to live away from home, so effectively seeking accommodation. This highlights that students and parents continue to see value in the full residential experience at these universities, and it validates our portfolio strategy to align ourselves to these institutions. So our focus right now is very much to leverage our relationships to convert as many of these discussions into firm bed commitments and secure an additional 1 to 2 points of occupancy on our current position. That said, the low visibility we have on nominations at this stage and the continued late nature of the direct let cycle is leading us to guide to the lower end of our 93% to 96% occupancy target. Stepping back, we are seeing three major themes come through our discussions with universities. Firstly, there is still strong demand from all universities, whether you are high tariff or low tariff for well-located, high-quality accommodation at the right price points. The cost of living pressure on parents and students and the growing number of stay-at-home students means that universities are very keen to secure more affordable options. And this plays to our portfolio, which is 90% cluster flats. And in most cities, we already have the price points and the tenancy lengths that these universities are looking for compared to so much of what's been built recently, which is at much higher price points and full year occupancies. Secondly, it is essential for universities that the partners that they work with share the same values they do on student experience with a strong welfare component that complements their own. Here again, the investments that we made in our 24/7 operating model in resident ambassadors who build great local communities in our student support framework, all of that has meant that we are at the front of the queue when the universities are looking for accommodation partners, not just another supplier of beds. Finally, there is strong belief within the more selective universities that they will continue to be the net winners. And for them, to continue to grow students, student numbers sustainably, they need a pipeline of high-quality accommodation for the long term. So we are actively working on renewing several of our longer-term deals with universities. The alignment of our strategy with these trends is what gives us the confidence that we will remain the partner of choice for the best universities in the U.K. So, what happens next? I thought it might be worth revisiting the structure of a typical sales cycle. Firstly, we're just four months into the current cycle. So there's a fair bit of runway ahead of us. So far, our focus has been very much on securing rebookers and undergrad returners. We will start our new customer acquisition campaign from end March going into April and May. This is really when undergrads start to act on their offer letter from universities. On nominations, universities tend to firm up their commitments with us in June once the acceptances come back from students. Our goal is, therefore, to have 87% to 90% of our inventory sold by the time we get to clearing in August. Now clearing is always massive for the undergraduate segment, between 65,000 to 70,000 students use clearing, either to find a new course or to switch their universities or both. Last year, we did nearly 6% of our sales during clearing. We expect this trend of a larger clearing to continue as we know, students are first waiting to secure the university place and then book their accommodation on the best possible offer out there. So far, we are seeing the market stay disciplined on incentives. They tend to be usually between 2% and 4% of the value of the annual contract, but this could increase towards the end. So we are keeping a close eye on it, and we will react accordingly. The post-graduate cycle actually does work a little bit differently. Currently, students are in the research phase, and they tend to book later in the cycle with peaks really coming through July onwards, especially for international postgraduates who also need to secure their visas. While the Unite Students portfolio was historically mostly undergraduate, now with Hello Student, we do have a new offer to take to postgraduates, and they will be a big part of our focus later in the cycle. Talking about Hello Student, I wanted to share a little bit more on how we are integrating Hello into the Unite operating platform. As Joe said, Hello Student provides students with a very different proposition to what we do at Unite. They have a high-quality portfolio aligned to high tariff universities where they deliver an excellent experience. And we will be keeping them as a separate brand to address the returners need for a more independent living experience. That said, their sales performance was below our expectations, but we are confident that as part of our platform, we can drive significant commercial improvements. One of the big areas where we will add value is through the scale of our international sales network. We work with 3x as many agents as they do across multiple markets. We have a dedicated sales team, many of whom are native Chinese speakers and also have a dedicated local office in China, all tools that the Hello team didn't have access to before. Additionally, we are already using our data and insights capabilities to help them make the right revenue management decisions, so where to adjust prices and tenancy lens and where to price recent refurbs so they can rebuild the base. We're also putting in place a cross-selling program, both to retain existing returning students across both portfolios, but also try and secure some norms for some of our Hello Student properties. Some of these will have a near-term impact, but the full benefit really comes from the next sales cycle when we will also have fellow students on our technology stack. And talking about our best-in-class operating platform, a final bit for me. I know a lot of focus right now is on our sales performance, but we can only deliver that if we deliver a great experience to our students and HE partners. And here, we've had another stellar year. Our student NPS is at a record high, and we are now rated gold by GSLI. Our higher engagement NPS is also at a record high, a reflection of how aligned we are with our university partners. And we're in the final stages of our technology upgrade program. We've already upgraded our finance, service and people platforms and the last piece of the jigsaw, which is our new booking engine and our new property management system is due to go live in the second half of this year. Once the transformation is complete, we will deliver nearly GBP 7 million of operating cost savings per annum. This, together with how students and universities feel about us, gives me the confidence that we will remain the best operating platform in the sector. And on that note, I'm going to hand over to Mike.
Michael Burt: Thanks, Karan. I'll now take us through a review of financial performance in 2025 as well as the outlook for income and earnings in the year ahead. We delivered like-for-like income growth of 4.9% in 2025, thanks to strong rate growth, which more than offset the reduction in occupancy. Operating costs increased by 9% on a like-for-like basis, primarily driven by higher staffing costs at property level, resulting from increases in the rural living wage and higher employers' national insurance. We also saw cost increases linked to higher council tax liabilities from vacant rooms as well as building insurance. Property activity over the past two years added a net GBP 15 million net operating income as the impact of development completions and acquisitions more than offset income loss through disposals. The EBIT margin reduced to 65.9% as a result of lower occupancy and inflationary cost increases. Adjusted earnings increased by 9% in the year, reflecting like-for-like growth in net operating income and investment activity. Overheads net of recurring management fees were broadly flat in the year. Adjusted earnings also included a nonrecurring fee of 0.9p on formation of our Newcastle University joint venture. Finance costs increased as a result of higher borrowings and a 30 basis point increase in the average cost of debt to 3.9%. Capitalized interest was also higher, consistent with the pickup in development activity over the period. On a per share basis, adjusted EPS increased by 2% to 47.5p, reflecting the increase in share count from the equity issue in mid-2024. Net tangible assets per share reduced by 2% in the year to 955p. This reflected a 0.5% like-for-like revaluation deficit in the rental portfolio, where rental growth substantially offset the impact of an 11 basis point increase in the portfolio yield, which now sits at 5.2%. Our development portfolio also recorded a revaluation deficit linked to our decision to defer or exit projects. This included our TP Paddington scheme, for which we incurred a 2p write-down, having taken the decision to not proceed with the scheme on viability grounds. Fire safety CapEx, net of recoveries through our claims, saw a 3p reduction in NTA. This was in line with our expectations, and we expect a similar impact in 2026. Total accounting returns were 2.1% for the year, reflecting the change in NTA and dividends paid in the period. We now move on to discuss the outlook for income, costs and earnings for 2026. As Karan discussed, we've seen a slower start to this year's sales cycle. This has been most impactful for nomination agreements where we expect a reduction of around 1,000 to 2,000 beds. We continue to target additional nomination agreements and have various conversations underway with university partners. Where required, we will pivot these beds to our direct let sales channel. Rental growth for our bookings in the year-to-date is 2.4%. As expected, growth has been stronger for nomination agreements and lower for direct let beds, particularly in those markets where we've reduced price to drive increased occupancy and income. Based on current trends, we expect performance for the next academic year to be at the lower end of the guidance ranges provided at our investor event in November for occupancy of 93% to 96% and rental growth of 2% to 3%. Together, this translates to 0% to 2% expected growth in like-for-like income for the academic year, which is at the lower end of our initial guidance for 0% to 4% growth. There remains six to seven months to go in the sales cycle and significant time to influence performance. While undergraduate student numbers look encouraging, we've learned the lessons of last year and are calling the risks as we see them today. We will review guidance over the remainder of the sales cycle as we firm up university demand for nomination agreements and make progress with our direct let sales, which are more heavily weighted to the end of the sales cycle. Cost discipline is one of our strategic priorities, and we're taking steps to rightsize our cost base to reflect a more competitive operating environment. We've identified GBP 30 million of annual cost efficiencies across the Unite and Empiric businesses, which will be executed by the end of 2026. Before the year-end, we reduced our central team costs by approximately 20%, responding to lower income and making savings where we'd invested in anticipation of stronger future growth. In addition, we're starting to realize the benefit of our investment in new technology platforms with GBP 2 million of our GBP 7 million of annual savings expected to be realized in 2026. Together, these changes will help to offset the impact of inflation, meaning we expect to hold the Unite cost base flat in 2026. For Empiric, we're now one month into our ownership and have spent the time reviewing the synergy assumptions made at the time of our offer. Our original target assumed GBP 13.7 million of annual cost savings on a risk-adjusted basis through removal of duplicate activity and roles and the benefits of our economies of scale. We've now confirmed those cost savings, giving us the confidence to increase our annual synergy target to GBP 17 million. We expect to recognize GBP 9 million of those savings in 2026 and achieve the full run rate in 2027. We have a strong balance sheet, and we will ensure we maintain leverage appropriate for the operational and capital intensity of our business. Net debt EBITDA is within our target range of 6x to 7x following completion of the Empiric acquisition, and we will continue to manage leverage through our disposal program so that we remain within our targets. This translates to a loan-to-value ratio of around 30% to 35% on a built-out basis. We expect a further gradual increase in our cost of debt as we refinance at higher marginal borrowing costs. We are forecasting a 40 basis point increase in the cost of debt to 4.3% in 2026 and then further increases of around 20 basis points per annum thereafter. Liquidity remains strong for new debt, and we've seen the cost of new borrowing reduced by around 25 basis points over the past year through lower rates and tighter spreads. Joint venture capital is a key part of our capital structure and an attractive source of funding for the group. Just under half of our operational beds are held through funds, which generate recurring management fees equivalent to around 2/3 of our overheads. We will look for opportunities to leverage new third-party capital and are pleased to have agreed the disposal of St. Pancras Way to USAF. The GBP 186 million disposal will be funded through GBP 115 million of existing cash in USAF and an equity issue in USAF underwritten by Unite. The transaction helps increase USAF's exposure to London, the U.K.'s largest and most liquid PBSA market through acquisition of a prime Central London asset. For Unite, the sale allows us to remain invested in a high-quality property and earn additional management fees. It also recycles capital to fund the cost of delivering our university partnerships and committed developments. The transaction will see our stake in USAF increase to a maximum of 32%, which we then expect to reduce over time. Our earnings guidance for 2026 reflects the outlook for income, costs and funding described on the previous pages. In November, we highlighted a 7% to 10% year-on-year reduction in EPS for Unite from a combination of factors. This included lower occupancy for existing properties and new openings, the loss of nonrecurring JV fees linked to our university partnerships, the initial earnings drag from disposals and the impact of higher funding costs. Since we issued that guidance, we've committed to an initial GBP 100 million share buyback, which will deliver modest earnings upside in 2026. However, we've also seen the outlook weakened for '26, '27 academic year income, meaning we expect earnings for the Unite business to be at the lower end of our previous guidance. Our 41.5p to 43p adjusted EPS guidance also includes Empiric for 11 months of the financial year. As we said previously, Empiric's income was below our expectations for '25/'26 academic year, which will particularly impact earnings in the first half of '26. This impact is partly offset by increased cost synergies. However, we still expect a 1p to 1.5p reduction in EPS in the year. Thereafter, we're continuing to target earnings accretion from Empiric through an improvement in income performance and the full benefit of cost synergies from 2027. We intend to hold our dividend flat in 2026, which would mean an increase in our dividend payout ratio just under 90%. We expect this to normalize back to our existing payout ratio of 80% over time. I'll now take you through a review of our investment activity in the property portfolio. In November, we set out our revised capital allocation framework based around 4 key priorities. And I'm pleased to say we've made good progress against each in the past three months. We formed our first two university partnerships in Newcastle and Manchester and started construction of new on-campus beds. For our off-campus developments, we reflected a more challenging leasing environment, which has seen us exit or defer future schemes. We're also committed to accelerating disposals and have today announced the sale of St. Pancras Way to USAF. This capital allocation supported our decision to launch a GBP 100 million share buyback in January. As Joe set out earlier, we see a clear trend towards the strongest universities outperforming and growing student numbers. These are also the institutions where students see most value in the residential experience, and we see the most enduring demand for our product. Our target is to increase our alignment to high-tariff universities to 80% of our portfolio over the medium term. Our investment activity in the past year has supported this goal by exiting lower-growth markets, developing in our most supply-constrained cities and acquiring Empiric's high-quality portfolio, all of which have increased our high tariff alignment to 67%. Our future investment activity will see us focus our portfolio on fewer cities and the strongest university partners. This will be achieved through the delivery of our university partnerships and developments and by accelerating our exit from lower-growth assets and markets. We've been delighted with our progress with university partnerships over the past year. We're now on site in Newcastle and Manchester for the delivery of 4,300 new beds. Universities recognize the value we bring through our design, planning and development expertise, which has helped to unlock these substantial projects in a difficult environment for new development. There has been significant appetite to lend to our university partnerships with Rothesay and PIMCO providing debt at borrowing costs below our initial underwriting. As Karan mentioned, the strongest universities want more high-quality affordable accommodation on their campuses. As a trusted partner with a growing track record of on-campus deals, we have a significant opportunity to add future joint ventures. We have half a dozen live opportunities with high tariff universities, and our target is to secure one of these deals per year. We're targeting low to mid-teens unlevered IRRs for future projects with demand underpinned by university partners who have an aligned financial interest in the schemes. I'll now turn to our off-campus developments. We delivered two new developments in 2025 in Bristol and Edinburgh totaling 1,000 beds, and we have a further two schemes under construction in London and Glasgow for delivery in the next two years. The cost to complete our committed schemes are around GBP 100 million. Our 2025 deliveries were 65% less in the year of opening. And as Karan said, these properties are leasing up well for the '26, '27 sales cycle. Our focus is on stabilizing the 2025 openings and leasing upcoming deliveries. Together, this would add GBP 27 million to net operating income from the end of 2027. At Hawthorne House in Stratford in London, we will complete construction in June for the delivery of 719 new beds in an academy school let to the Department for Education. The project is our first development delivery subject to approvals by the building safety regulator. We recently secured the second of three gateway approvals and are fully engaged with the BSR to derisk opening in time to welcome students for the start of the '26-'27 academic year. Our uncommitted pipeline also includes sites for an additional 2,400 beds where we own the land, for which the bulk of the value is in consented schemes in London. We will be highly disciplined over new development starts and recently took the decision to exit our TP Paddington project due to it no longer being viable. We've also deferred the development of our Freestone Island site in Bristol. We're currently exploring all options to realize value from these uncommitted projects, including outright sale as well as joint ventures where a partner would fund future CapEx. In the wider market, we see other developers facing the same challenges around development viability. New supply of purpose-built student housing increased in 2025, but remains around half of pre-pandemic levels. Net of beds leaving the market due to obsolescence, new supply remained modest at around 1.5% of stock. High build costs and longer development programs due to the Building Safety Act gateways mean weekly rents now need to be at least GBP 230 for projects to be viable. This is above the rents in 80% of our markets and runs contrary to what Karan said about universities focusing on more affordable product. Where new supply is coming forward, it tends to be focused on more premium studio product and the small number of prime regional cities, which can support rents at these levels. We expect new supply in 2026 at similar levels to 2025 with markets such as Birmingham, Leeds and Glasgow set to absorb the highest levels of deliveries. Looking beyond 2026, we expect to see a material reduction in new supply as indicated by fewer new planning submissions for PBSA schemes over the past year. We also see the same viability challenges impacting development of build-to-rent, which has become a source of competition at the premium end of the student market. We saw good levels of investment activity in the student housing market during 2025 with just over GBP 4 billion of assets traded. Interestingly, we've seen a change in the makeup of transactions, which have shifted from funding of new development towards purchases of standing stock. This reflects the viability challenge for new development in the current market. Institutional investors remain active with the likes of AustralianSuper, QuadReal, L&G and KKR, all deploying capital in 2025. After a year of softer occupancy, leasing performance for the '26, '27 academic year will be key to pricing for upcoming transactions. We're targeting GBP 300 million to GBP 400 million of disposals in 2026 from a combination of lower growth or mature assets that have made a good start through the sale of St. Pancras Way. We will be bringing further assets to market in the coming months and have identified around GBP 100 million of future disposals from the empiric portfolio. Positively, we're seeing good interest from value-add investors for portfolios at affordable rents valued significantly below replacement cost. We expect further disposals to follow the conclusion of the '26-'27 sales cycle in the autumn. This reflects the importance of current leasing performance as well as the time required to complete technical due diligence linked to fire safety. We are fully focused on deploying capital where it delivers the strongest risk-adjusted returns. This was demonstrated in January through the launch of a GBP 100 million share buyback program to return surplus capital to shareholders. This was funded through reduced off-campus development. Looking ahead, we expect to generate around GBP 100 million to GBP 200 million per annum of surplus capital as we execute on our disposal plan and development CapEx reduces over time. Share buybacks and university partnerships remain the best uses of our capital, and we will decide how and where we invest based on the opportunities we have available to us. New investment must demonstrate clear accretion to both earnings and net tangible assets, and we will not compromise on maintaining a robust balance sheet. This means future investment will need to be funded out of disposal proceeds. And with that, I'll hand you back to Joe.
Joe Lister: Thanks, Mike. So, we set out a clear plan in November, and we've made a good start. We know that we've got a lot to do, and it will take some time, but we are really clear on our near-term priorities. We will be relentless in our focus on sales from both nominations and direct let across both Unite and Hello Student. We will deliver further cost efficiencies from the delivery of our tech platform, complete the integration of Empiric by the end of the year, securing additional synergies and drive earnings accretion from our sales platform. We've announced the sale of an asset to USAF and launched a portfolio that supports the portfolio repositioning, and we will be pragmatic and agile in the delivery of that. And we will be disciplined in our approach to allocating capital to new development, prioritizing nominations and joint ventures, and we will consider further share buybacks as we make progress with disposals. We remain positive on the sector and believe that the fundamentals remain strong. U.K. higher education is an amazing asset to this country. It is globally recognized. There is a more stable policy environment and the strongest universities are growing and targeting further growth. We're confident in our platform and our ability to integrate and drive value from the Empiric acquisition and our university relationships, and we are underway with our portfolio repositioning and seeing new supply slowing. We are pleased with the progress that we're making, and we believe that we are well positioned for the future and building momentum in our performance. On that, I'm going to open up for some Q&A. So I suggest we start in the room, and then we can go online. I got a couple of mics at the back.
Callum Marley: Callum Marley from Kolytics. Two questions. First one on Empiric. So, Empiric occupancy came in weaker than expected. And Joe, I think you mentioned that they failed to pivot away from their core postgraduate market. Was this priced into your original offer? And I guess, was this a foreseeable miss?
Joe Lister: So we did reduce our price because we saw that there was weakness in their sales, but they still came in below that. So that was a disappointment in terms of where they've ended up. And I think that was in part, as I say, because of that lack of failure to effectively reposition and also just from some of the market changes that we saw across our own portfolio.
Callum Marley: Okay. Then the second one, why should investors have confidence that today's guidance represents a floor rather than another step down?
Joe Lister: Look, I think that we set out in November that the -- effectively the fundamentals of our business that we believe that we should be focused in on those high-tariff universities that we have seen changes in the marketplace coming from the move to more students staying at home and the growth or the fall in international postgraduates and that repositioning the portfolio will take some time. We've also been encouraged by the applications data that has come in for the next academic year, both from U.K. undergraduates and from international undergraduates. And that gives us confidence that we will continue to see that high tariff -- that growth of high tariff universities, but it will take us some time to reposition the portfolio.
Paul May: It's Paul May from Barclays. Just following on from that last one. I think you mentioned a few times in the presentation about making good progress since November, but yet you announced another profit warning, which is your third in four months. What confidence can you give us that you have full control and understanding of the market? You highlight demand should be stronger year-on-year and yet you're guiding to the bottom end of operational expectations. There was stronger demand last year and yet the market suffered from operational challenges. How do we know that this is not the start of a multiyear rebasing in occupancy and rate growth given the supply-demand dynamic appears to have broken.
Joe Lister: Yes. Universities are taking a more cautious approach, and we've seen that. And the current occupancy position is driven primarily by that shortfall in nominations agreements. I think we are encouraged by the quality and number of conversations we've had since the release of that applications data. But that's why we are reducing our occupancy guidance to the lower end of our range. We set out in November 93% to 96%, and we are saying that given that current position that we are saying that we will be towards that lower end of the range. The reduction in the earnings guidance is primarily because of the Empiric acquisition, the 1p to 1.5p, and that's because of their sales performance before the business was in our control. We fundamentally, and hopefully, we set out our belief of why we see the longer-term performance of the sector and aligning to the high-tariff universities where we have seen strong growth in numbers. We've seen a return in growth or growing numbers of undergraduate students as well. But fundamentally, that's why we believe that we will be able to return to that core occupancy back to where we've historically been.
Paul May: So I think in November, you also mentioned an expectation to bounce back to 97% plus occupancy and inflation plus rental growth from academic year '27, '28. I assume this is no longer expected.
Joe Lister: Yes. I think the delivery of that to 97% was when we repositioned the portfolio. I'm not sure that we sort of believe that will all be done by '27, '28. I think that we do need to go through that portfolio repositioning. And we've highlighted GBP 300 million to GBP 400 million of sales this year. We've launched the portfolio. As I say, we will be pragmatic in the delivery of that, and we will have to go again into '27 as well. So I think the delivery of that is around the alignment point and that we will need to effectively get back to that focus or greater focus on high tariff to enable us to get to that levels of occupancy.
Paul May: A very quick one. then share count you're using for EPS guidance just given the issuances and other things.
Michael Burt: Yes. What I can say, Paul, is there's a few moving parts in the share count, clearly. So, the Empiric acquisition completed at the end of January. So, essentially, you have 11 months of own shares. The other variable is clearly the share buyback. We've talked about deploying GBP 100 million over the course of essentially the first half of the year. So you should probably assume around nine months of those shares being out of the share count. So clearly I can't give you a precise number, but hopefully, that gives you the key moving parts.
Paul May: Sorry, last one on Pancras Way. Obviously, sold to a related party, one could argue. Why did you decide to sell to USAF? Was this a competitive process? If so, what was the price of the underbidder? And how much was the asset written down in '25 versus the portfolio?
Michael Burt: Yes. So it's probably fair to say for context. So USAF is a fund in which we established it over 20 years ago. We remain a big investor. We've got a 30% stake in the fund. And clearly, these are investors who want to -- they see value in the student accommodation sector and they want to be invested there. We've been talking to USAF over the course of the last two years because they've made a number of disposals, which have freed up capital. So the fund has had capital. We've historically sold into the fund and generally, that's helped us recycle capital to fund things like our development pipeline. We knew USAF had a requirement to grow in London. It's about 15% of their portfolio, and they'd like to upweight. And we discussed the number of assets with them. That was on a bilateral basis, but it's arm's length. So the way decision-making works in USAF is for them to approve a transaction, there's a vote which is outside of -- Unite is excluded from that vote essentially. In terms of the valuation of that asset, we saw the yields move out by about 15 basis points over the course of last year, which net of the rental growth meant it was modestly up in value terms, but that's pretty consistent with what we saw in the broad market. But it's fair to say this was an arm's length negotiated transaction. We're pleased to sell it to USAF, and I think USA are pleased to have acquired it from us.
Rebecca Parker: Just wondering if you can talk to the markets that you had to execute pricing adjustments in and whether you expect any other markets, I guess, with oncoming supply to be impacted there.
Karan Khanna: I can take that. So I think as we've set out in the Capital Markets Day, there were three cities where we had the most challenged performance, Nottingham, Leicester and Sheffield. So in those three cities, we did make pricing adjustments. And we've done a combination of adjusting the headline price, but also adjusting tenancy length to marry to the needs of the universities. So where we may have historically have had 51 weeks, we've gone to some of those 44 weeks as well. In a lot of the other cities, we've done tactical price changes. I don't think we've done strategic citywide price changes. So individual properties. A good example of that is the 2 new properties that we launched last year, Avon Point in Bristol and Burnet in Edinburgh. We've adjusted some of the pricing and tenancy lens there as well to rebuild the base and secure the rebookers as well. Apart from that, it's different in different cities, but those are the key ones where we've made adjustments so far. For the rest of the cycle, obviously, we will see how the performance varies and then depending on where we see demand coming or softening, we will make more adjustments.
Rebecca Parker: Also, just with the direct let, I guess, underperforming nomination agreements, how, I guess, under-rented are those nomination agreements? And does that come up in your discussions with universities that nominations are achieving a higher rental growth than the market?
Michael Burt: Yes. Rebecca, it varies by agreement clearly. But sort of broadly speaking, they tend to be sort of around 10% under-rented on an annual contract basis versus direct let. However, what we get with those agreements is clearly visibility and security of income. So there are some benefits. One of the other things we think about the nomination agreements beyond the income security are the savings we make in cost of acquisition as well. So they can be something in the order of 3% to 5% of booking for a direct let sale. So we tend to think about these things in the round. Yes, we hope to capture reversion, but we're also looking to grow that nominations space, as Joe discussed.
Rebecca Parker: Yes. And then just on Empiric's letting performance, you expect it to be in line with the direct portfolio. Just wondering if you can give some, I guess, some numbers around that. And then also just given the current slower leasing cycle, just wondering if you can talk to, I guess, because they have that higher weighting towards tariff universities, what's really going on here? Yes.
Michael Burt: Yes. So if you look at the Unite guidance for this year, we've talked about being at the lower end of the 93% to 96% and nomination agreements being probably around the mid-50s as the share of beds. What you can imply from that is our direct let occupancy would be in the mid- to high 80s, and we think Empiric's portfolio will be in a similar place. And I think your second question, Rebecca was on high tariff and how that's performing for them. Fundamentally, those institutions have performed well and their properties are located in strong micro locations. I think the impact on performance has been around that post-graduate intake. So we often talk about high tariff in regards to the undergraduate data, which is trending very positively. However, what we have seen is softness in post-graduate demand and particularly a reduction in bookings from China for Empiric.
Thomas Musson: It's Tom Musson at Berenberg. Just a question on the portfolio valuation. Am I right in thinking that in this period, the valuers will have made a specific deduction to the value in some places due to lower occupancy? Or is the portfolio still valued based on assumption of full occupancy?
Michael Burt: Yes. So, yes, Tom, you're right. When we have buildings that are under-occupied versus, say, a standard 97% occupancy assumption and valuation, what the valuers will do is make a pound per pound reduction for the shortfall in that income for the next 12 months. However, what they will also reflect and they have reflected in the Q4 valuations, in some cases, are reductions in expected rents because of the lower occupancy performance. So what you will have seen in the Q4 valuations is they've taken account of the sales outlook that we've reflected in our guidance for the '26, '27 academic year.
Thomas Musson: In pound million terms, are you able to sort of say how much that is?
Michael Burt: The pound per pound reduction in the income, Tom. It would essentially be that gap. So if we're saying we were 95.2% occupied for the academic year, it would essentially be the 1.8% occupancy reduction relative to the value.
Thomas Musson: All right. And then just quickly on software implementation costs. You mentioned the upgrade program will complete next year. How much more cost should we assume for '26? Anything else beyond that?
Michael Burt: We have about GBP 10 million to go, Tom.
Ana Taborga: Ana Escalante from Morgan Stanley. One question on the nomination agreements because in January, you reported 56%, if I'm not mistaken, of reservations coming from nominations, and that has gone down to 55% now. So I was wondering why -- or what's the reason behind that reduction? And if that 55% that you are reporting today is totally secured for academic year '26, '27?
Karan Khanna: Yes, I can take that question. So the reason for why it's sort of gone down since the January update is we were still in the middle of the conversation with universities on what volume they were going to take. And what we have seen is that we've lost very few accounts in full. What we have seen is where universities may have taken 1,500 beds, they've sort of said we're going to take 1,300, and we're going to guarantee you 1,300, but we need to see where the applications are going to be before we can commit to the next 200. So they've sort of taken the top off a little bit, and that's kind of what has led to the number going down from 56 to 55. So it's a lot of small little adjustments rather than one or two big accounts that we have sort of lost as well. Sorry, I missed the second part of your question.
Ana Taborga: Yes. Of that 55% that you've currently reported, how much do you think is 100% secured.
Karan Khanna: Yes. So we're pretty confident on the 55% that's in there right now. So they represent either contracts that we have already signed. Most of them are multiyear agreements. So they are pretty secure. We also have a pipeline of further conversations, which are what we are hoping will get us the 1 to 2 points of additional occupancy on that 55% right now.
Ana Taborga: And then the discussions that you're having with universities are mostly around what they're saying, right, that they don't want to commit on certain number of beds? Or are they, to some extent, some price sensitive and therefore, they are demanding for some price adjustments?
Karan Khanna: It is very much the former, which is do we have confidence that we will have the student numbers securing -- seeking accommodation. I think overall, they are actually very happy with our relative price points. They are happy with the rate of rental growth that we've got in there. And historically, we've been quite prudent with what we've sort of pushed through as rental growth as well. I think they've been quite appreciative of the fact that we've adjusted tenancy lengths to reflect where they might need a 41-week or a 44-week rather than last year, we might have sold that as a 51 week. So we have a lot of positive commentary from them around our flexibility and not really a lot of issues around the headline price right now. I think ultimately, what they want to just get confidence on is the application that they're seeing, which is more positive than initially may have thought is actually that turning into acceptances, which really does happen through May and June.
Maxwell Nimmo: It's Max Nimmo from Deutsche Numis. Just on the integration with Empiric, I think you were talking about kind of technologically bringing that together for the next sales cycle. Just how confident are you on that in order to get that kind of sales rate back up? Is it sort of a plug and play? And kind of related to that, you mentioned also about the build-to-rent risk as well in the market, particularly in some markets where there's quite a lot of new supply, and we're hearing of build-to-rent assets with 40% to 50% of students in them. Just how you see that risk versus the kind of the rent reform bill and things like that.
Karan Khanna: Yes. So, Max, on the first point, I wish it was plug and play, but I think from -- I think anybody -- any of us who ever been in a technology upgrade knows that it takes the complications and the surprise as you get through your deployment. I think the advantage for the Empiric team coming over to the Unite platforms is that we are actually going through that process within the Unite properties first. So we've already transitioned to our new service platform. We've implemented Fusion in finance. So a lot of the core platforms that they'll be coming on to, we have already tested, embedded within the Unite system. So we know how to move them across platforms. The big unknown for us right now is our property management and booking engine because we're in the final stages of its design and testing and the testing really starts in earnest in April. So that's probably the unknown where if that goes well for the United systems, United Properties, then actually the process to bring an Empiric on would be just another group of properties. But again, I think it -- I need probably the next three to six months to see how the testing goes before I can give you the confidence whether it will be a plug and play. But the intent is very much to have it ready in time for the sales cycle for the next year. I think on your second question with build-to-rent risk, we have seen build-to-rent emerge as a competitor, especially for international students and especially for returners who are looking for that more independent living experience. That's part of the reason why we were quite excited by the Empiric portfolio, which offers a very different proposition. There will be more risk within build-to-rent because they will be -- they will not have the benefits of the assured tenancies that we will still have within the student portfolio. So we think there is more volume that we can shift from the HMO market where if you're a landlord, it's yet another challenge that you have to deal with. So we're hoping the supply side does become a little bit better for that second and third year in the returning market, which will benefit Empiric as well.
Joe Lister: Not sure we'll allow a second go, Paul.
Paul May: Apologies. Just had one which came up, I think, at the Capital Markets Day, which you mentioned about a reduction in utilization of space through the year. Just wondered if you're seeing that in the continuation in the direct let in terms of shorter lease cycle.
Michael Burt: We are seeing a slight shortening in lease duration, Paul, and that's reflected in the price guidance we give. So when we said being at the lower end of 2% to 3%, that's annual contract value. So that's the combination of weekly rate and the length of tenancy. We saw that length of tenancy tick up for a number of years, and we saw it slightly reduced last year, and we're seeing a similar sort of attrition in that this year. So it's reflected in the guidance, but it's fair to say that probably that affordability trend means that we're seeing those contracts get slightly shorter.
Joe Lister: And part of that is driven by the shift of international postgrad towards undergraduates and generally, the undergraduates want a shorter tenancy length than the postgrads.
Paul May: I think you mentioned some leasing per term. Have you seen an increase in that as well?
Michael Burt: Not really.
Karan Khanna: Not massively, Paul. But we are actually quite good at backfilling our rooms where we do have either vacancies or somebody needs to leave early because of any issues. We've done fairly well. We have seen some jam starts come through as well as universities have started to add courses in that particular period as well. It's something that we're actually fairly good at. It's never been a huge part of our business, that in summer income. But as we have shorter tenancies, we've actually bulked up that business development muscle.
Michael Burt: And it's fair to say, Paul, when you end up selling a first semester, let's say, it's generally because you might have vacancy. So we haven't really started doing that yet. It's focused on annual contract values. As you get towards the end of the cycle, you may pivot towards selling some of those shorter tenancies as well.
Paul May: And very last one. I mean, we've obviously seen quite a share price decline over the last basically a year or six months, another decline today. Just wondering, should we expect to see direct purchases of shares going up seeing your confidence in the future has increased or deferring a part of your salary into share options given that confidence?
Joe Lister: Yes. I think we've already increased our shares that we've been buying, and there is also a bonus deferral element to our remuneration. So yes, it's something that we actually consider. I think that along with the share buyback program that we've announced is sort of hopefully demonstrating the commitment and confidence that we've got in the value of the business going forward. Mike, I think we've got a few coming online. Do you want to pick up any that we haven't sort of covered?
Michael Burt: Yes. So I'll start with a couple from Marc Mozzi at Bank of America. First one, are university partnerships included in your earnings guidance? Yes, they are. It's fair to say though that we're in the development stage. So it's just a case of the CapEx coming through and those beds will become operational in future years. Marc then had a separate one on what is the initial yield we should expect for your disposals? It will be a blend of different types of disposals. We've clearly made the disposal to USAF we've announced today. We do think that the yield on disposals will probably be in the order of 5.5% to 6%, albeit some will be high yielding, some will be low yielding. I'll then turn to Denese Newton at Stifel. What is the likely impact of your price matching offer where early bookers will still get the best price?
Karan Khanna: Yes, I can take that. So any time that we are considering a price reduction from what we have already launched, we do look at what's the actual net impact of that from -- in terms of incremental revenue it can drive net of what we have to give back to students, be it on the incentive or the headline price as well. In most cases, it's not massively significant. So if you're offering a GBP 250 incentive and there's 100 existing students, that's GBP 25,000 that we'll be doing. So, so far, it's not material, but it is an active consideration when we look at price reductions because we want to make sure that we are making net-net more cash rather than just trying to drive pure occupancy in itself.
Michael Burt: Got one from Andres Toome at Green Street. How do you perceive the risk of missing income for 2026 new openings? Are you able to fully let new schemes open in 2025? v
Karan Khanna: I can take that. So we've got one scheme coming up in London, which is Hawthorn House. 51% of that building is already nominated with the London university, which is a great sort of base to come from. We've also had interest in that asset from another high tariff university in London, which if we're able to secure, which we'll know in the next few weeks, I think that will then put that property on the track of full occupancy. It's a great asset in Stratford, really well-priced rents as well. So -- and sort of taken the lessons from last year around what we need to do to drive initial occupancy, initial pricing incentives, et cetera. So right now, we are confident that we can -- on the back of the nominations that we should be in a good position.
Michael Burt: We've then got a couple of questions that I'll combine on build-to-rent. How is your build-to-rent strategy progressing? Have you thought about repurposing PBSA into BTR where you may be facing lower occupancy?
Joe Lister: Yes. So we've got the one asset build-to-rent in Stratford. I think just given the current capital position of the business, we won't be looking to grow and add to that portfolio. Indeed, we'll probably add that one to our overall disposal program either in '26 or '27. I think in terms of repurposing student accommodation to build-to-rent, that does come with some real complexities around affordable housing and change of use. So I think where we have more flexible consents, we may look to open up lettings and actually, the Empiric portfolio plays into that, but it's not something that just given the overall demand and the outlook that we're spending too much time on at this moment.
Michael Burt: I think got one from Roy Kulter at ABN AMRO. Historically, you've guided to a total accounting return target of 8% to 10%, excluding you movements. given the current environment, do you still expect to hit that figure? So I think we've laid out the sort of the key elements really that sort of go in to give you the total accounting return. Generally, in any given year, about half of that 8% to 10% comes from recurring earnings. You can clearly see the guidance for this year, which is for a slight reduction in earnings, but you would still expect about 4.5% of return on the NAV from that recurring earnings growth. Thereafter, the valuation impact will be a function of the rental growth we achieve. We've given you a sense of how we're trending and clearly, the property yield movements that may or may not happen, but we don't guide on those. I think that's it.
Joe Lister: Great. I don't know if we've got any calls on the -- questions on the calls. Great. Well, thank you all for coming and joining us this morning. Thank you for all your questions, and look forward to seeing you all.